Operator: Good morning, and welcome to the Norwegian Cruise Line Holdings’ First Quarter 2015 Earnings Conference Call. My name is Bridget and I will be your conference operator. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions for the session will follow at that time. [Operator Instructions] As a reminder to all participants, this conference call is being recorded. I would now like to turn the conference over to your host Ms. Wendy Beck, Executive Vice President and Chief Financial Officer. Ms. Beck, please proceed.
Wendy Beck: Thank you, Bridget. Good morning, everyone, and thank you, for joining us on our first quarter earnings call. I am joined today by Frank Del Rio, President and Chief Executive Officer of Norwegian Cruise Line Holdings. Frank will begin the call with opening commentary, after which I will follow with commentary on the results for the quarter, as well as provide updated guidance for 2015, before turning the call back to Frank for closing words. We will then open the call for your questions. As a reminder, this conference call is being simultaneously webcast on the company’s Investor Relations website at www.nclhltdinvestor.com, and will be available for replay for 30 days following today’s call. Before we discuss our results, I would like to cover a few items. Our press release with first quarter 2015 results was issued this morning and is available on our Investor Relations website. I would also like to review information about forward-looking statements and the use of non-GAAP information as a part of this call. The company’s comments today may include statements about expectations for the future. Those expectations are subject to known and unknown risks, uncertainties and other factors that may cause the company’s actual results and performance in future periods to be materially different from any future results or performance suggested by these expectations. The company cannot guarantee the accuracy of any forecasts or estimates, and we undertake no obligation to update any forward-looking statements. If you would like more information on the risks involved in forward-looking statements, please see the company’s SEC filings. In addition, some of our comments may reference non-GAAP financial measures. A reconciliation of the most directly comparable GAAP financial measure and other associated disclosures are contained in the company’s earnings release. Now with that, I’d like to turn the call over to Frank Del Rio. Frank?
Frank Del Rio: Thank you, Wendy and good morning everyone. You recall it was not too long ago that we were announcing Norwegian’s 2014 full year results and meeting many of you face-to-face at our investor conference in New York City. It was truly an exciting time as we had much to share with you. First, the deal to acquire Prestige had closed a few months prior and the two previously separate Norwegian and Prestige organizations were starting to come together. At the same time, we implemented a corporate-wide organizational structure that balance brand champions and department heads tasked with maximizing revenue with leaders focused on keeping a keen eye on controlling costs. We created integration teams focused on quickly identifying and harvesting synergies across the organization. But most importantly, we began to lay out the strategies that would form the foundation for how my leadership team and I would leverage the size, brand positioning and expertise of our larger and more diversified company to ensure outsized future profitability growth. An excellent foundation for growth had already been established at each of the previously separate organization. The Norwegian brand had completed a turnaround that was nothing short of remarkable and embarked on a disciplined newbuild program with six new innovative ships scheduled for delivery through 2019. All this, while reporting 26 consecutive quarters of earnings growth and continuing on its announced path of doubling return on invested capital since the time of its IPO. Prestige, meanwhile, continued to dominate the upscale cruise space generating the highest per diems and the highest EBITDA per berth in the industry, while at the same time planning for expansion of its market share in the luxury segment with the building of the Regent Seven Seas brand Explorer, the most luxurious cruise ship ever to be built and in the premium segment, with the addition of Serena, the fourth vessel in our award-winning R-class fleet. Separately, Norwegian and Prestige were success stories in their own right but we can consider this past success as just the prelude of what is to come, now that the collective strengths of each organization are joined under one company. We began with the quarter that just ended which marks the first full quarter of results following the combination of Norwegian and Prestige in November of 2014. And while there is a bit of noise due to the usual one-time items related to any acquisition, our results for the quarter already demonstrate the strong earnings power of our combined company. But delivering this better-than-expected result is just part of the story for the quarter. While our leadership team continued to execute on the individual strategies that each company had in place prior to the combination, more importantly the team focused on working together to identify areas where we could demonstrate, quantify and implement initiatives which confirm that the new whole was much greater than the sum of its parts. Throughout the first quarter and continuing through today, the excitement, optimism and camaraderie prevalent at our Miami headquarters is contagious. Throughout our campus, you will see employees from the Norwegian and Prestige organizations in the midst of co-locating, sharing and identifying each other’s experiences and skills and building relationships with their new colleagues across the organization. Our overriding mantra at Norwegian: three distinct brands in one incredible company and the culture of our organization reinforces that mantra. At the same time employees at the corporate level from vessel operations to revenue management to finance have the mindset of identifying best practices, leveraging our scale to achieve lower costs and utilizing technology and our combined knowledge base to drive demand to obtain the highest possible revenue. These new-found best practices will help form new playbooks for every area of the company. These playbooks will be key as my leadership team devote this first year of the combination to strengthening the foundation that would allow for outsized profit growth in the future. I devoted a lot of time to ensure that our organization was structured in such a way as to promote brand level as well as corporate wide excellence. That structure is further supported by the depth of talent and experience of our seasoned leadership team. While planning for our record-breaking 2016, the team has not taken their eye off the ball for 2015 as demonstrated by our strong first-quarter results and improved earnings guidance, coupled with higher synergy targets for the remainder of the this and next year. At our investor day, we introduced you the various strategies that will drive our outsized long-term profit growth and pledged to continually to update you on our progress. As a quick refresher, the main components of our strategy -- which was coined as FDR's new deal, were, first, to execute on the solid strategies already in place; second, to drive higher per diems to deliver higher yields and lastly, to leverage scale to suppress costs. Regarding executing on the strategies already in place, as I stated earlier, both the Norwegian and Prestige organizations were well down the road to success prior to the combination. The foundation of the new deal is to continue to successfully execute on those strategies that made each entity successful on its own but with measured adjustments and best practice learnings that come as a benefit of the combination, our new larger scale and a perspective that comes from a fresh look at each other's businesses will surely pay dividends. One initiative of the first component of the new deal is to drive incremental organic earnings growth alongside rational capacity growth. For this initiative, we have looked across the fleet to identify areas where marginal changes that are commensurate with market conditions can be implemented to improve performance. A few examples include a 6.7% average increase in beverage prices, the introduction of a nominal room service fee and lower cost from renegotiated shore excursion agreements. To put into perspective how these small changes can add up quickly, ever dollar increase in yield translates to approximately $15 million to the bottom line. These initiatives are still early in their stage but we clearly see additional opportunities in this area both in the short and long-term. The second component of the new deal is to increase demand to drive higher per diems which lead to higher yields. While the execution of this component requires a delicate touch and will take time to fully develop, we are already seeing early signs of its success. This is evident in what is perhaps our most critical initiative, which is the implementation of elements of Prestige’s proven and successful go-to-market strategy into Norwegian’s pricing practices. We are beginning this initiative by first weaving into the mix Prestige’s market-to-fill versus the more industry common discount to fill approach into the overall revenue management and planning philosophies for the Norwegian brand. This strategy involves aggressive communication to consumers and travel agents to stimulate bookings by offering value pack rational pricing early in the selling cycle. The benefits of this strategy are many and it's a win-win for all parties. First for the target customer who knows their preferred voyage well in advance, they are rewarded with best price and state room availability. The same idea extends to travel partners. We want them to feel confident in recommending to their clients that if they booked their cruise further in advance of sailing, prices will not drop as the sailing draws closer, which assures higher commissions for themselves. Lastly, it benefits the cruise line by facilitating the building of a solid base of bookings which allows for price optimization as supply decreases. To give you an indication of how much impact this market-to-fill strategy has had on our bookings so far, our combined company’s booking window at the end of the first quarter was 172 days, up from 154 days at the end of Q1 201, or a 12% improvement. And while looking ahead to 2016, this strategy has significantly contributed to us having 39% more revenue on the book than we had for 2015 at the same time last year. These are truly impressive metrics and will contribute to consistent outsized yield growth. This strategy by definition also reduces the dissatisfier of close-in discounting-to-fill, which has been the bane of our industry. Along with the concept of kicking off the sales cycles of attractive value pack introductory offers to encourage early bookings, the second prong of this market-to-fill strategy is meant to further wean guests from the practice of solely depending on price discounts by focusing consumers more on the overall value of the offered deals versus simply lower and lower pricing. As an example, this wave season Norwegian introduced an attractive value-add offer which we supported with additional marketing investment. The offer, dubbed Freestyle Choice, resulted in a record-breaking wave season for the Norwegian brand. The promotion was extremely well received by guests and travel agents alike, giving us optimism that the focus of our target customers is beginning to shift from a strictly price oriented one towards one that understands the overall value proposition of a cruise vacation. We believe that our market-to-fill strategy coupled with compelling value-add promotions are a strong combination. And while these initiatives are in their early stages of implementation at the Norwegian brand, we can already see positive results as the brand continues to be better loaded in every quarter of 2015 versus the same time last year for 2014. And for 2016, our book load factor has greatly improved and today it’s approximately double what it was for 2015 at the same time last year, allowing for revenue management to optimize pricing throughout the sales cycle for the remaining inventory. Aside from rolling out certain onboard initiatives aimed at optimizing onboard revenue as well as our go-to-market strategy for the Norwegian brand, the first quarter saw a number of other initiatives and in the interest of time, I will just touch upon. In the area of increasing demand which falls under the second deal component of improving net per diem, we announced an expansion of our Norwegian brand sales force which includes an increased presence in the important but underpenetrated markets of Canada and California. In addition, we have consolidated a UK sales office - offices of our three brands while in Germany, the Oceania and Regent sales teams will co-locate into the Norwegian brand’s offices in Wiesbaden, allowing them to eliminate the costly GSAs and instead market and sell directly to travel partners and guests in this important market. With a luxury sector that is as large as that of the UK, but a penetration by the Oceania and Regent brands that is much lower, having a dedicated in-house sales office for these brands in Germany is crucial to our brand’s growth. The combination of our UK and German sales forces into joint offices follows the opening in late January of our sale, marketing and reservation center in Brazil which also represents Norwegian, Oceania and Regent brands in this growing BRIC market. Lastly, we are using our scale to suppress costs. Our management team has embarked on an all-out offensive to look at every aspect of the business that can benefit from our new larger scale. Significant inroads have been made in several areas, including port contracts, insurance, fuel and various other purchasing and provisioning initiatives. Before turning the call over to Wendy, I’d like to give you an update on the progress of our strategy identification and capture activities. Previously we had communicated the identification of $40 million of synergies for 2015, $15 million from revenue improvement and $25 million from cost savings, growing to an annual run rate of $50 million beginning in 2016. With additional time to assess their areas for further efficiencies, my leadership team in conjunction with our dedicated integration team have now identified total first-year synergies of $75 million with $30 million coming from incremental revenue and $45 million in cost-savings. Looking to 2016 and beyond, these same synergies combined with newly identified synergies result in $115 million in total synergies with more expected to come. With six ships in the pipeline for delivery between now and 2019, creating and driving demand is the single most important initiative Norwegian’s three brands can undertake. The scale of these incremental synergies provides the opportunity to earmark a portion for reinvestment, allowing us to boost our new deal strategies and other initiatives that drive demand, while at the same time allowing the majority of these synergies to flow to the bottom line for the benefit of our shareholders. Of the incremental synergies identified, we are earmarking $20 million to be spent in 2015 with $40 million in 2016 for the Norwegian brand operational investments that we think will enhance the guest experience which leads to greater customer loyalty, that in turn drives demand. These reinvestments are crucial if we are to entice past guests to return more frequently and also lure a slightly more affluent and discerning first-time guests to Norwegian who will be willing to pay more to vacation aboard our fabulous ships. While I can continue on regarding the host of other initiatives underway to further strengthen the foundation for Norwegian’s long-term outsized profit growth, I don't want to overshadow this past quarter’s significant accomplishments, including results which exceeded ours and the street’s expectations and helped improve our outlook for the remainder of the year. Advance sales in all three of our coming fleet additions are performing extremely well. Norwegian Escape which joins the fleet at the end of 2015 is on her way to a successful inaugural season. She is currently booked 10 times better than the Norwegian Getaway was at the same time prior to her delivery and overall much better than her other recent predecessor, Norwegian Breakaway and Norwegian Epic. Meanwhile Oceania Serena and Regent Seas Explorer have both led their respective brands to record booking days during Q1. There is lot of good news in the quarter. So I will turn the call over now to Wendy to discuss the results in more detail along with improved guidance for the year. Wendy?
Wendy Beck: Thanks, Frank. I would like to begin by noting that unless otherwise stated the following commentary compares first quarter 2015 and 2014 on an as reported basis. You may recall that in our last earnings release, we provided guidance for changes in net yield and net cruise costs on an as reported basis as we customarily do. This as reported basis compares current year’s reported results with those reported for Norwegian Cruise Line Holdings in the first quarter of 2014 results which occurred prior to the acquisition of Prestige Cruise Holdings. In order to provide a better comparison of the combined company’s true performance, we also provided guidance for net yield and net cruise costs which compares first quarter 2015 results for NCLH against the first quarter of 2014 which includes the results of Prestige. We refer to this guidance as combined company which we have provided on both an as reported and constant currency basis. For first quarter 2015, the company generated adjusted earnings per share of $0.27 compared to $0.23 in the prior year and guidance of $0.20 to $0.24. Contributing to the earnings’ beat were an outperformance in net yield and lower interest expense as a result of lower-than-expected interest rates and better grid pricing on certain credit facilities. Adjusted net yield performance was better than anticipated, increasing 18.9% on an as reported basis as a result of a full quarter of consolidation of the upper premium and luxury Prestige brands. On a combined company basis, adjusted net yield decreased a slight 0.7% compared to guidance of down 1% to 2% and was essentially flat on a constant currency basis. These results are even more impressive as they come against the strong first quarter of 2014 where net yield increased 3.8% for the Norwegian brands and included two high yielding charters for Norwegian Jade at the 2014 Olympics in Sochi and Norwegian Getaway in New York for the festivity surrounding the Super Bowls. In addition, fluctuations in foreign currency exchange rates had an expected impact in the quarter. While we saw a slowdown in onboard spend from European guests on the Norwegian brand, overall guest spend improved on the Oceania and Regent brands particularly for shore excursion and pre and post hotel stays. We expect exchange rates to continue to be a net headwind and we have included their expected impact in our guidance which I'll discuss later in my commentary. Adjusted net cruise costs, excluding fuel per capacity day, increased in the period by 28.7% on an as reported basis, mainly due to the addition of the Prestige brand and 5.6% on a combined company basis. The increasing cost can be attributed to timing of certain expenses, including the receipt of technical spares as well as additional marketing investments, including return to television for the Norwegian brand which we frontloaded into the early part of the year to take advantage of wave season and build a strong base of bookings for 2015 and beyond. Regarding net cruise costs, I would like to point out one item which appears in our non-GAAP adjustments for this metric. This item is a $9.1 million benefit pertaining to the accounting of the contingency payment of $50 million to be payable to shareholders of Prestige Cruise Holdings prior to the acquisition, pursuant to the achievement of certain performance metrics in 2015. Accounting for this contingency is similar to a mark-to-market instrument with the value being adjusted based on the probability of achievement. The contingency payment is in two thresholds. The first threshold with a payout of 50% is based on 98% achievement of the target metric. The second threshold payout of the remaining 50% is contingent on achieving the remaining 2% of the target metric. But given the narrow band of the second threshold, small changes in the probability of achievement result in large swings in the contingency recorded. Now turning back to costs and fuel in particular, our fuel price per metric ton net of hedges in the period decreased 18.3% to $526 from $643 in the prior year. As with the prior quarter, we experienced a negative impact from our fuel hedge portfolio as a result of lower oil prices in the period. Excluding the impact of hedges, our at-the-pump fuel price per metric ton was $401 compared to $646 in 2014, representing a 37.9% decrease. The difference in the hedged versus non-hedged fuel price per metric ton in 2015 results in a $0.09 per share impact on adjusted EPS. Interest expense net was $51 million compared to $31.2 million in 2014 on account of higher debt balances resulting from the acquisition of Prestige, offset by the aforementioned lower than expected interest rates and improvement in grid pricing on certain of our credit facilities due to improved leverage metrics. Other income expense in the quarter included an expense of $29 million for a foreign currency collar related to a ship construction contract. At the time of the drafting of our prior guidance, we anticipated this collar would be designated as a cash flow hedge and thus receive hedge accounting treatment. The structure of the collar is such that it will not be eligible for hedge accounting treatment, thus we expect future impact of this line item on it is marked to market on a quarterly basis. Now looking to ’15, we’ve provided guidance along with associated sensitivity for the second quarter and full year 2015 in our earnings release. In addition to providing guidance on an as reported basis for net yield and net cruise costs, we are also providing guidance of this metric against 2014 combined company results as the basis with which to compare 2015 expectations. As stated earlier, these combined company results assume the consolidated results of Norwegian and Prestige for the second-quarter and full-year 2014 as of the beginning of that year. In terms of impacts to the balance of the year, Norwegian Star underwent an unscheduled drydock in April to replace propeller bearings which malfunctioned after a recent scheduled drydock in the first quarter. While the cost of the drydock is minimal as the repairs are covered under warranty, the revenue impact of the cancellation of a 15-day Panama Canal sailing is more pronounced and is included in our guidance. Lastly, we expect to continue to experience the headwinds from a stronger dollar on foreign currency denominated sales. Offsetting these impacts are the benefits from incremental revenue synergies and business initiatives identified in the quarter. As a result, we are maintaining our full-year adjusted net yield guidance of approximately 17.5% on an as reported basis for results compared to those filed by the company for full-year 2014 and introducing constant currency guidance of approximately 19%. On a combined company basis, we expect adjusted net yield to be up approximately 1.5% and 3% on an as reported and constant currency basis respectively. Turning to costs, the additional investment of $20 million for projects and initiatives aimed at driving demand are offset by an equal amount of incremental identified synergies, resulting in our adjusted net cruise costs ex fuel to remain unchanged at up approximately 23.5% on an as reported basis while on a constant currency basis, we expect an increase of approximately 24%. On a combined company basis, we expect an increase of approximately 2.75% and 3.25% on an as reported and constant currency basis respectively. The benefits of interest savings for the balance of the year will be offset with higher depreciation expense as a result of additional capital investments stemming from the new deal program and its goal of enhancing the guest experience to drive higher per diems. That said, interest savings and better than anticipated net yield performance in the first quarter along with maintaining our net yield and new cruise cost guidance has resulted in raising the lower end of our adjusted EPS guidance by $0.05 to a range of $2.75 to $2.90. Guidance for the second quarter, where the impact of the Norwegian Star unscheduled drydock is most pronounced, particularly in terms of net yield, are as follows. On an as reported and content currency basis, we expect adjusted net yield for the second quarter of 2015 to grow in the range of 17.5% to 18.5% and 19.5% to 20.5% respectively. On a combined company basis, we expect adjusted net yield to increase between 1% to 2% on an as reported basis and 2.5% to 3.5% on a constant currency basis. Adjusted net cruise costs, excluding fuel per capacity days, on an as reported basis, is expected to increase between 23% and 24% and 23.5% to 24.5% on a constant currency basis. On a combined company basis, we expect a decrease of 2.25% and 3.25% on an as reported basis and 2% to 3% in constant currency. Lastly, adjusted earnings per share in the quarter is expected to be in the range of $0.70 to $0.75. Now turning to deployment, the second quarter sees much of our fleet in repositioning voyages. Now in order to demonstrate the benefits of diversification from the addition of the Oceania Cruises and Regent fleets, the following compares 2015 deployment on a combined basis to 2014 on a Norwegian brand only basis. 29% of capacity is in the Caribbean in 2015 compared to 38% in 2014. Europe deployment increases to 27% from 23% for the quarter while Alaska increases 200 basis points to 12%. And Asia, Africa, Pacific, South America and world cruises which were areas where the company had no presence in 2014 now combined to account for 4% of capacity with the addition of Prestige’s fleet. With that, I will turn over the call to Frank for some closing comments. 
Frank Del Rio: Thank you, Wendy. As I mentioned earlier, the excitement of Norwegian's prospects and those of our three brands is resonating with our travel agent partners, our valued past guests and throughout the organization as we continue to work for a great 2015 and ready ourselves for another year of outsized profit growth in 2016. Both Oceania and Regent will welcome fleet additions in 2016 that will further solidify the places -- their places in the upscale cruise space. And not to be outdone, the Norwegian brand will continue its history of innovation with a full year of sailings of its large ship Norwegian Escape, the introduction of a semi-all-inclusive experience on its three and four night Bahamas product onboard Norwegian Sky and will begin the planning for the arrival in 2017 of the Norwegian Bliss. On the synergy front, we expect that on our next earnings call we will communicate the final tally from our formal synergy identification and implementation efforts that will transition to a new phase of our combined operations where we turn from identifying savings solely as a result of the combination but instead focus on broader opportunities that arise from day-to-day operations. We are working hard on all aspects of the business to bring our shareholders superior profit growth and investment returns. We continue to lead the industry in net yield, EBITDA margin and return on invested capital, and if the year continues as planned, we will have double our adjusted earnings per share in just two years. It’s a great start to our first full quarter of combined results and we look forward to speaking to you again next quarter. Thank you all for your continued support. We’d like to go ahead and open up the lines for questions. Operator?
Operator: [Operator Instructions] And our first question is from Steve Wieczynski with Stifel.
Brad Boyer : Hey thanks guys. This is actually Brad in for Steve. First off, on the $30 million in identified revenue synergies, and perhaps what comes beyond, can you kind of give some color around how you see that shaking out between ticket and onboard? 
Wendy Beck: So first off, I don't want to give too much color but I would say the majority of it goes to onboard and net shore ex. And the smaller portion goes to be ticket side but that’s the opportunity and so that’s really – that’s the FDR deal that’s not baked into our guidance, it’s not baked into our long-term target for ‘17 that we put out there and I think, Frank, do you want to speak a little more to that?
Frank Del Rio: Yes, as you recall at the investor conference, one of the drivers of the so-called FDR deal is how do you increase demand which in turn increases per diems which leads to higher yield. And that’s a longer -- longer evolving initiative, it’s already taken hold. I gave you a couple of tidbits of information of how well we are booked into the rest of ‘15 and into ’16. And when you are booked that well, when your load factor is double what it was the same time last year for 2016, unless you're totally asleep at the wheel, which we are not, prices per diem will go up. And so we see various initiatives that will increase our ability to increase yields at a higher clip, at a faster clip than historical averages. We’re not ready to obviously give you a whole lot of color and specifics around what we expect yields to be in 2016. We reiterated yield guidance for the rest of ‘15 but if the booking load factors are as good as we were saying they are, you know what’s going to come next. And that is better price. 
Brad Boyer : And then on the second topic, since you last talked to us, a number of your competitors have announced kind of expanded plans and aspirations for the Chinese market. Just wanted to see if we could get an update on your thinking long-range around the China opportunity. 
Frank Del Rio: Well, what appears to be every ship in the world is going to China, maybe the rest of the world is a bigger opportunity now in China. I say that only tongue-in-cheek but it is incredible to see our competitors devoting their newest largest, probably their best performing ships to the Chinese market. We have launched the study group that we said we were going to launch back in the investor day conference, we have hired a very seasoned executive who has gone through the process of opening up China for one of our competitors. And so we believe that having him on board with his expertise will quickly increase our overall knowledge of that market. Harry Sommer who now has been our chief integration officer, as soon as the integration efforts are complete by the end of Q2 will transition and lead that effort. And so we've got quite a bit of talent dedicated to that study group. I, of course, will oversee it and we’re still very bullish on China as the rest of the industry seems to be as well. So no real specifics at this time, as I mentioned at the investor conference, we expect to complete our work by year-end and be able to share it with you shortly thereafter. 
Operator: Thank you. And our next question is from Harry Curtis with Nomura. 
Harry Curtis : I've got a couple of questions. Turning to your incremental reinvestments, can you give us a sense of what you are investing in and why? What is the strategy behind what you're trying to do with the incremental money that you are setting aside? And then have you assumed any impact on yield as a result of that investment? 
Frank Del Rio: The main driver is to increase demand. All of our three brands are taking on additional tonnage over the next few years as I mentioned in my opening comments. And so the most important initiative that any company can undertake is to make sure that you build that capacity coming online. And so a lot of the work that we’re doing is to do everything we can to generate more demand, and part of that is through sales and marketing efforts. You recall that very early in my tenure in Q1 we announced that we were going to increase the sales force to penetrate the under-performing Canadian and California markets for the Norwegian brand and we were going to do more work on the international arena that the Oceania and Regent brands had penetrated the international marketplace a little bit more effectively than Norwegian had up to now. And quite a bit of that money being spent is to do just that, a more pronounced presence in important markets and with the marketing spend that goes with entering those markets. The second part of the reimbursement is to make the onboard product better, to increase guest satisfaction. If you have happy customers, they are more likely to come back more frequently than if you have unhappy customers. So the Norwegian product is already very good but we want to make it the best it can possibly be and the industry-leading in our space. And so all the monies being spent on the product side are being spent on the Norwegian brand specifically. We’re very happy with the product – onboard product of the Oceania and Regent brands but we do think that the Norwegian brand could improve from where it is today.
Harry Curtis : Then that leads to my second question is it's been three months since – 
Frank Del Rio: By the way, Harry, I didn't answer your second part of your question is that there is absolutely no benefit baked into many of the numbers that we disclosed today, whether it is for ‘15 or ’16. And so we hope that these $20 million initiatives in ’15 and $40 million in ‘16 will lead to a greater demand which will in turn lead to higher per diems and higher yields but we’re assuming for the moment that we’re going to incur the cost and not reap any of the benefits. So we’re being very conservative with this reinvestment program. 
Harry Curtis : Very good. And that leads to the next question, which is longer-term. You have made comments about the earnings power of Norwegian perhaps doubling by the end of 2017. It's been three months since you publicly commented on that. Has anything changed in the last three months to make your ability to achieve that goal more or less likely? 
Frank Del Rio: I just want to correct, I think that the comments we made was that by 2017 earnings-per-share would hit $5. And you recall that was against the context at the time of basically the plan that had been in place prior to my arrival, which had included $50 million of synergies. So what we know today – two or three months later, the synergies now are greater than $50 million. Everything that I see at Norwegian from a structural perspective, from a brand perspective, I believe there is improvements that we can achieve whether you want to categorize them as synergies or categorize them as just good old business opportunities that had been neglected, or not been fully exploited, I believe that’s the case. So I believe that $5 is -- I feel stronger today than I did three months ago that the $5 if not more is achievable. A bit too early to quantify how much more. So I don’t want to get into what we’re going to be doing in ’17 because we haven’t gone through ‘16 yet. But there is no reason to believe that those numbers are somewhat conservative at this point.
Wendy Beck: And I would just add that we had baked $50 million into the ‘16 synergy number to get to the $5 and so with the net 75 that we put out in our earnings release, that’s an additional 25 million upside to the $5.
Operator: Thank you and our next quarter is from Robin Farley with UBS.
Robin Farley : A couple of questions. Frank, in your opening remarks, and you talked about a 39% increase in revenue on the books for ‘16 versus the same time last year, is that a pro forma number? I just want to think about the scale of that number. Is that pro forma, or is that -- because Prestige would not have been on the books at this time last year? – 
Frank Del Rio: No, it is apples to apples. We took what Prestige had in the books at this time last year for ‘15 and added the two numbers together. So it is a good number. 
Robin Farley : And then can you give us a little color -- maybe this is a question for Wendy -- on the pro forma increase in ticket yields versus the percent increase in onboard yields in kind of a constant-currency basis? Just because there's not enough information released to see what that would look like pro forma constant currency. 
Wendy Beck: Robin, we don't actually break out the ticket versus onboard in our guidance. I mean that’s a combined number. But what I can tell you is based on the synergies that we saw roughly two-thirds is going towards onboard and one towards ticket. And the upside or the opportunity for us is to continue to push on the ticket side. 
Robin Farley : But I was – it sounds just like the actual, Q1 actual?
Wendy Beck: On Q1, yes, 75% I would say is ticket and the way that – that actually skews more towards Norwegian and then the onboard upside really skews more towards Oceania and Regent.
Robin Farley : But with the flat pro forma net yield for Q1, does that -- if you said most of that was ticket, does that mean that ticket was up slightly, and maybe onboard was down slightly? 
Wendy Beck: Yes, so if you go back – when we put out our Q3 earnings call we actually said at that time that we had hoped that Q1 would be up -- either flat to up 1% and then we guided down but as we went into the quarter we were up high on our per diems but we were actually down on our load. And that was one of the first changes that was made here with the new management team, was let’s get loaded and then once we get it loaded, we will start increasing the revenue and we changed the marketing initiative, that we talked about this at investor day, we changed the deal, we had an enticing ad but we changed to even more call to action less branding and so that resulted in upside in the ticket for Norwegian. 
Frank Del Rio: Yes and that’s why we are excited, yes, for the second half of ‘15 and really into ‘16 because the necessary condition in my view of being able to raise prices and per diems and therefore yields is load factor. And when your book is well booked into the future as we are at this point, that bodes very well for constant increases in prices. 
Robin Farley : And then just my last question is just can you clarify what's the deferred revenue that -- it's in your -- you have a line item, adjusted yield, and it looks like it adds about 400 basis points to yield on a reported basis. So I'm just wondering, first of all, can you clarify what that is that you are adjusting? And then, also, how much did it add to your pro forma net yield? In other words, pro forma net yield was basically flat in the quarter. Would it also have been down 4% -- just to understand what that adjustment is?
Wendy Beck: So this is related to the acquisition of Prestige and it’s under the business combination accounting rules. So obviously we booked revenue when the ship sails but advance ticket sales, it was about $48 million in total, that is deemed that the sailing process had primarily occurred at the time of the acquisition. And so therefore you have to actually haircut that number and so we actually are adjusting out to 21 million because we are putting it back in, just say, this is real revenue that you need to look at for that selling. But because of the accounting rules they make you haircut it. And that was already baked into our guidance. We were discussing that at the last call. 
Robin Farley : That $21 million, under the accounting rules, it will show up in later quarters? Or in other words, are they sailings that --
Wendy Beck: That’s correct.
Robin Farley : So those were sailings that hadn't been taken yet or something? 
Wendy Beck: So we are going to see it for the rest of the year and it will go consistently down over the next three quarters. 
Operator: Thank you. And our next question is from Steven Kent with Goldman Sachs.
Steven Kent : Just to finish up on that question that Robin just asked, because we had the same one -- did that $20 million of deferred revenues or so, does it go $20 million to $10 million to $5 million to $5 million? Because it does influence the cadence of the net yield, which obviously we all focus in on. That's one question. Then the second question is just on -- same thing, on cadence of your fuel costs. Fuel price per metric ton probably goes up from first quarter to the second quarter, but fuel price per metric ton seems to be lower in your guidance. So I'm trying to understand that. Is that related to the fuel hedges? 
Wendy Beck: Okay good question. So on the deferred revenue, there is about $18 million to $19 million remaining for the last three quarters. And then that will go away. And then regarding the fuel prices, yes, so our fuel prices do actually spike up in Q2 and Q3 as we are moving into the more premium itineraries or burning more NGLs and then it’s going to go back down into the fourth quarter. You will see that lower back down to get us back to our full year guidance. 
Operator: Thank you and our next question is from Felicia Hendrix with Barclays. 
Felicia Hendrix : Frank and Wendy, really appreciate all the detail you provided in the prepared remarks, and so far in the Q&A. I'm just wondering, can you update us more specifically about what you're seeing in your various markets in 2015, Caribbean, Europe, Alaska, perhaps some details on pricing on bookings, and if you have seen any changes since your first-quarter guidance in those markets? 
Frank Del Rio: From that perspective, it’s been pretty steady. There isn’t any markets that are – that distinguish themselves either on the high end or the low end. If there is a market that shows a little weakness and I think it’s some leftover fears of the Ebola virus and some of the more exotic itineraries on the Oceania and Regent fleet that touch the African continents and go out to Asia. There is a little weakness there. The good news is that’s a very, very small part of our overall deployment but you issue itineraries a year and half, three years ahead of the actual sailing. So if I had to do all over again I may not have as many sailings in and out of Cape Town, Africa. But they are coming back a bit, I think, as the headline and all the negative news stories about Ebola start to fade in and the world is not coming to an end because of Ebola. But if there was one that I would tell you had a little bit of weakness, it would be that but overall Europe is strong, Alaska is strong, the Caribbean is very good. I mentioned to you how well Escape is going and Escape is a Caribbean ship out of Miami. So when you are booked as well as we are booked into the future given the diversification of itineraries by definition, the areas are all doing pretty well. 
Felicia Hendrix : And then also, Frank, thank you. I know you are very focused on customer satisfaction. I think that goes without saying. You've talked earlier about raising your beverage pricing and your room service fees. I'm just wondering if those efforts have affected consumer satisfaction at all and what kind of feedback has Norwegian gotten from that, if any? 
Frank Del Rio: On the beverage, we’ve seen nothing at all. We have not seen a decrease in consumption. It’s pretty much what we thought, if you are thirsty around the pool, and you want a Pepsi in the middle of the ocean, you’re going to buy that Pepsi whether it’s $2.10 which was the old price, or $2.25 which is a new price, so nothing at all. On the more recent introduction of a fleet-wide $7.95 service charge on room service, if you read some of the online blogs, there has been some comments, there always is, no one likes to pay more. But we tested it on two ships in two different price points and we didn’t hear complaints. We improved the menus, so there was a give and take. So yes, you have to pay a delivery charge so that we can deliver faster, because that eliminates some of the folks who order a piece of toast on a cup of coffee in the morning and – but no, overall, all these initiatives that we have put in place that recognize the power of the captive audience that you have without going too far, they’ve all panned out as we expected. 
Felicia Hendrix : And then just quick housekeeping. Wendy, can you just update us, if there is an update from your investor day on the FX sensitivities to yield and/or EPS? 
Wendy Beck: Sure. It’s the same sensitivities actually that we had. So let’s see – it’s three-tenths of a penny, count to two-tenths Canadian, three-tenths and then Australian two-tenths that’s gaining. 
Operator: Thank you. And our next question is from Jamie Katz with Morningstar.
Jamie Katz : The $5 that you guys are looking at in 2017 not only implies that you can capture some pricing growth, but also that net cruise costs, capacity-adjusted, are extremely well contained. And I think this quarter, like-for-like they were up about 5.6%, it indicated in the press release. So can you just sort of speak to your confidence level on the ability to maintain those costs and really where you see the best opportunity is to keep those costs under control? 
Wendy Beck: First off, Jamie, we don’t have in $5. Any upside of FDR new deal into the revenue side of the business. I just want to say if you look back at what I just talked about with the long term outlook, that’s pretty much a 3% to 4% net yield growth baked into that year. So to the extent that these things start to take place and take a foot hold, that’s upside to the $5. And regarding the net cruise costs, I can just say in my role here, we are just as focused on net cruise costs as we always have been. This is an anomaly year, primarily an organic year, we don’t get the benefit of a new ship until the back end of the year and we already are putting a number of investments into marketing to really bolster the marketing where we believe remains to be and that’s both pre-Frank coming on-board and then post-Frank coming on board, saying, okay, I need to tweak it even more. I will turn it to you, Frank.
Frank Del Rio: Yes, but as a general comment, I will tell you that I truly believe that whether you want to consider them formal synergies as I said we need to transition away from just looking at the combination as an opportunity for cost savings and transition to running a business period. We are not done at all on the synergy cost capture. Again we have been here four months now and have found – what we have found nearly $200 million in total but we are not done. Not going to tell you how much more we think we can get but it’s not de minimis. So we are going to continue to focus on costs. There’s lots of more opportunities. We hinted at our investor conference what we thought we could achieve on the back office, on payroll if you will and we hit the top end. Baked into the synergy number for 2016, for example, is a $27 million of headcount reduction and was roughly 10% of our payroll. And we think we are pretty much done there but there are many pockets – in a company that generates $4.5 billion worth of revenue and makes $500 million of the profit, it’s $4 billion of expenses and there is just more to get. So none of that – none of those costs above the $50 million in net synergies that are baked into the $5 in 2017 or the $3.71 I believe in 2016, zero upside to pricing to yields is baked in, whether you want to call it the FDR deal or just the fact that we are still well booked into the future and what’s going to happen next is you are going to see pricing steadily increasing as a result of that strong load factor. None of those factors, both which are positive, are embedded in the $5 in 2017 EPS estimate. And so again I don’t want to start adding A plus B equals C but at this point the $5 is a very well in our focus and it should exceed – the actual results should exceed that $5 target.
Operator: Thank you. And our next question is from Greg Badishkanian with Citigroup.
Greg Badishkanian : So I mean really good to hear that you are so well booked. And the 39% year-over-year increase in revenues for 2016 on the books, and then you compare that with the load factor at double, the primary difference there? And then, also, typically at this point in the year, if you don't want to give the specific number right now, but typically, how much of the forward year do you have on the books, just to see the magnitude of how important those numbers are? 
Frank Del Rio: Still low, I won’t give you a number. But any time you are that far ahead is good. 
Greg Badishkanian : And the 39% versus the 2 times load factor -- the difference there, what the big difference is there? 
Frank Del Rio: Difference is that the 39% encompasses all three brands and the double in load factor in Norwegian only. 
Greg Badishkanian : And then finally, just on -- Royal, obviously, as you listen to your competitor earnings calls -- talked about the policy of stopping last-minute discounting. Has that had any impact on you? And have you noticed any change in behavior of some of the -- I guess it would just be Carnival, since there is not a lot of other big players out there. But have you noticed any differences in the competitive landscape responding to that? 
Frank Del Rio: I don’t know what Carnival is doing. I heard what Royal was going and I applaud them. No one likes to see discounts. We think that our go-to-market strategy while eliminating discounts, it certainly minimizes the need for discount because if you are again booked this far in advance like we are, the pricing dynamic is want to increase pricing and not to decrease pricing. So if we are successful at rolling out what we say we are going to do and by definition, the need for massive last minute discounting goes away. 
Operator: Thank you and our next question is from Tim Conder with Wells Fargo Securities.
Tim Conder : Just a few more here. Wendy, could you maybe give us a little more color on the impact of the unplanned resumed drydock here due to the warranty issue on yield and cost? And then is there any possible recovery for business interruption insurance, either yours or be borne by the yard? 
Wendy Beck: That’s a great question and obviously once we look into – so the good news is that the drydock cost is minimal. Our cost is less than $1 million on that because it’s being covered under warranty. The bigger item is the lost revenue and that’s in the mid single digit million that we’ve actually lost on that 15-day Panama Canal sailing. 
Tim Conder : And then you would have some cost avoidance, also. You are not burning fuel, or -- but I guess you are still obviously paying the crew -- 
Wendy Beck: There is, Tim but on the same token, when we cancelled that sailing, we hauled tail if you will, to the Bahamas from the West Coast to get there to minimize any disruption before we did the Transatlantic. So it’s an offset.
Tim Conder : And then Frank, again, early days, but you and the rejuvenated team here -- great, great performance. Given the discussion that's happened here so far with the incremental net cost savings after reinvestments, and then how that's been some additional opportunities that you had but have not yet quantified, and the impact going forward here, could you or Wendy just maybe update us on your thoughts on the debt prepay? I think you’d talked about pre-paying a certain amount of debt beginning in ‘16 and how that was a little bit factored into your guidance. But then maybe balancing that versus share repo, is that still looking at 2016? 
Wendy Beck: Great question. And we are very focused on that and including our board as to what’s the best use of our free cash flow. And what I said at investor day is that probably or there is likelihood that in the fourth quarter of ’15 we could start to either pay down some debt or go back and start – embark again on our share repurchase program. And I would say that we are still very focused on that. So it’s either late ’15 or into ’16, I think that’s what we are focused on. What I also stated was that there is more of an appetite with our weighted average cost of debt being just over 3.7%, we are inclined that share repurchases is more likely the better use of funds. And we are excited about that. So that’s highly likely, obviously it has not been approved by our board at this time but we are focused on that. 
Tim Conder : And lastly, Frank, I know this is a board decision, but you’d also talked about maybe initiating a dividend. And would that be reasonable to assume that you would maybe want to do that earlier than later, just to broaden out the investor base here? 
Wendy Beck: Let me jump in and take that, Tim. I think it was the one that addressed that at the investor day. And it’s not that necessarily – I think what we said all along is that it’s a matter of time before a dividend is implemented. And we know that we want to broaden that investor base. But it hasn’t been the primary focus. We are probably more keen on repurchasing shares first but again that’s a good discussion at our board level and I do think it is a matter of time. 
Operator: Thank you and our last question is from Stuart Gordon with Berenberg. 
Stuart Gordon : A couple of questions. Just the first one on the yield, just looking at what you delivered in the first quarter, above the top end of what you'd expected in the quarter. And then your commentary on the outlook seems extremely bullish. I was just curious as to why yield guidance wouldn't have been lifted on the back of this? Is it just Star going in for the drydock, or what's your thoughts there? And the second thing is -- is there anything you can say about Cuba, given obviously we have seen the ferry service getting introduced; JetBlue. Where is the cruise industry in discussions on opening up Cuba? 
Frank Del Rio: Well Cuba is of a special interest to me, not only because I run a cruise line but because I was born in Havana and haven’t been back in 54 years. So it’d be nice to go back. Look, I have said publicly Cuba was tailor-made for the cruise industry given where it is, given the pent-up demand that there has to be for Cuba after being closed to Americans and for most of the world for all these years. I will tell you that I welcome the initiatives that both governments have undertaken to resume discussions and resume a normal relations between the two countries, literally a week doesn’t go by some news comes out about making progress towards that goal. I think you saw this week where the administration approved four ferry companies to start ferry service to Cuba. I think that’s all positive steps. Obviously we need to go further. I don’t think that both countries want to stop where we are and so we are hopeful that progress continues and that some day not in the distant future, cruising to Cuba will be allowed. It will be a great boon to the industry and coupled with what we are seeing in China this can be the start of another golden boom in the cruise industry, where you’ve got new destinations to go to that are very sought after in Cuba and a whole new market, a large new market in China that wants to cruise. It could be heck of a 1Q punch to really increase overall demand for cruising. In terms of yields, could you repeat the question, please?
Stuart Gordon : Yes, it just seems to be -- I think you were above the top end of the first-quarter guidance with yields. And clearly, the commentary and the reinvestment that you're making is all -- sounds extremely positive. But I was curious why I think you've left the full-year guidance where it was. Is it really simply down to the enforced drydock of the Star or are you just being extremely conservative despite the good start to the year? 
Wendy Beck: Great question. So yes, we did have a beat in revenue on Q1 but it’s a combination not only of the Star drydock that I just spoke about but then also the additional FX hit that we’re going through that at this time we anticipate will hit us for the year. That’s why we have left the yields where they are but we have said that the upside from the FDR new deal plan is baked into those numbers and it takes time to roll out those initiatives. So we feel very confident that they will be fully in place for ’16 but we think that there could be potential upside in ’15 too and we will just have to continue to message that to you. End of Q&A
Frank Del Rio: Thanks everyone for your time and support today. As always, we’ll be available later this afternoon to answer any questions you may have. Operator, thank you for your good work. Good by everyone.